Operator: Welcome to the Vectrus, Inc. Third Quarter 2014 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Cindy Frothingham, Director of Investor Relations. Please go ahead. 
Cindy Frothingham: Good morning, everyone. I would like to welcome you to the Vectrus Third Quarter Earnings Conference Call. Joining us today are Ken Hunzeker, Chief Executive Officer and President; and Matt Klein, Senior Vice President and Chief Financial Officer. 
 Please turn to Slide 2. During today's presentation, management will be making forward-looking statements pursuant to the Safe Harbor provisions of the federal security laws. Please review our Safe Harbor statement in our earnings press release for a description of some of the factors that may cause actual results to differ materially from the results contemplated by these forward-looking statements. We assume no obligation to update our forward-looking statements. Also, we will be making reference to non-GAAP financial measures during this call. We remind you that these non-GAAP financial measures are not a substitute for their comparable GAAP measures. You can find the non-GAAP reconciliations and other disclosures required by the SEC included in our earnings release and in our presentation slides, which are publicly available on our Vectrus website at investors.vectrus.com.
 Please turn to Slide 3. At this time, I'd like to turn the call over to Ken. 
Kenneth Hunzeker: Thank you, Cindy. Good morning, everyone. Thank you for joining us on the call today. As we all know, today is Veterans Day, and I cannot think of a better day for Vectrus to deliver its first earnings call. In our line of business, we are proud to serve side-by-side with the men and women who wear the cloth of our nation. Today is our day to give them thanks. I recently had the opportunity to visit these men and women as well as our employees in the Middle East. Each visit reminds me of the dedication, sacrifice and hard work required to conduct operations there. Happy Veterans Day to all who have worn or continue to be in uniform. Thanks for your service. 
 As you know, our spinoff was completed as of September 27. And today, we are pleased to lead Vectrus as a publicly traded company. Last month, during our Investor Day briefing, I spoke about what makes Vectrus unique and why we believe we are positioned to provide critical support to our customers while delivering compelling shareholder return. Before I dig into the details of the quarter, I would like to review those highlights. Vectrus primarily provides mission-critical operations and maintenance services to U.S. Government customers around the world. Our customers continue to have requirements for infrastructure asset management, information technology and network communication services and logistics and supply chain management. Our history of delivering superior performance, creating long-term value and sustaining enduring customer relationships creates our foundation for future growth. Looking at our future as an independent company, we believe we have a significant opportunity in the market as a result of our proven ability to win and execute large-scale, mission-critical global services. With proven performance and enduring customer relationships, we are solidly positioned to capture our share of the approximately $100 billion in the addressable market we serve.
 Our pipeline of potential new opportunities over the next 3 years is more than $10 billion, and our track record is solid, with $2.4 billion of new awards and 7 new IDIQ contracts in the last 20 months. A solid pipeline with a winning track record and good financial fundamentals provide us with an excellent opportunity to increase shareholder value.
 Please turn to Slide 4. Third quarter highlights include the successful spin from Exelis on September 27. This required a great deal of work resulting in a smooth transition to a standalone company. I believe we have good financial fundamentals, a manageable debt level and an experienced management team working together to deliver increased shareholder value. In the past few months, we were awarded 3 key contracts in our base business, which are consistent with our strategy and are expected to add $1.4 billion of backlog as well as approximately $200 million of annualized revenue. This is significant because these contracts run beyond 2020 and mitigate our declining Afghanistan revenue.
 I will talk about each one of these wins in detail on the following slide. 
 Third quarter results are in line with what we communicated during the Investor Day briefing and are consistent with our full year projections. As we discussed at Investor Day, revenue and earnings were lower relative to prior year, as our support to U.S. troops in the Afghan military continues to draw down. We expect our Afghanistan contracts to gradually come to a conclusion by the end of 2016. This assumes the administration remains on its current course to remove all combat troops within that time frame. Matt will provide you details on the financials later in the presentation. 
 Please turn to Slide 5, and I will discuss these 3 wins in more detail. The 3 recently awarded contracts all align with our strategy of expanding our geographic footprint while broadening our customer base. This strategy has been in place for some time, and these recent wins demonstrate our ability to execute on our strategy.
 First, on August 15, Vectrus was awarded the U.S. Corps of Engineers Enterprise Information Management and Information Technology Contract, referred to in this presentation as ACE-IT, totaling $517 million and running 5 years. This program has been protested. However, upon successful resolution, it will significantly expand our footprint within the continental United States. The contract calls for us to provide information management and information technology support services to more than 37,000 Army Corps of Engineer customers. In addition, this contract expands the work in our IT and network communication line of service. Our network infrastructure support capability is well developed and well tested, and we are thoroughly committed to providing this support in a customer with superior performance. On September 18, we were awarded the Turkey Spain Base Maintenance Contract by the U.S. Air Forces in Europe. It has a total contract value of $458 million and runs through September of 2021. Support services include the full spectrum of day-to-day base operations and maintenance as well as contingency and exercise support to the DoD, the Joint Chiefs, the U.S. Air Force and other allied operations. Work will be performed in multiple locations in Turkey as well as in Spain at Morón Air Force Base. We're happy to be selected as the successful bidder, and we're committed to supporting the customer's mission at these strategic locations. We expect this contract to be fully operational in second quarter of 2015.
 On Slide 6 is our most recent win. On October 31, a Danish company owned by Vectrus received notice of award of the Thule Base Maintenance Contract. It has a total contract value of $411 million and runs through 2022. The operations and maintenance work will be performed at Thule Air Base, Greenland. These 3 contracts add approximately $1.4 billion or an additional 64% to our existing $2.2 billion of recorded backlog. We expect to continue growing our base business with $10 billion of identified potential and new opportunities in the pipeline, including $1 billion of proposals submitted and pending award. Additionally, we have another $1.5 billion of bids expected to be submitted for consideration in the next 60 to 90 days.
 At this time, I'd like to turn the call over to Matt to go through the details of third quarter and full year performance. And then, we'll open up the line for your questions. 
Matthew Klein: Thank you, Ken. Good morning, everyone. Please turn to Slide 7 to review our financial performance. On September 27, Vectrus completed a spin transaction from Exelis and became an independent company. Although Vectrus was a business unit under Exelis during the reported period, the following results reflect Vectrus as an independent company. 
 During our discussion today, I will address our third quarter results on an adjusted basis, which excludes the historical revenue and operating income for the Tethered Aerostat Radar System business, which we refer to as TARS, as well as the impact of separation costs to become a standalone public company. If you will recall, the TARS business was retained by Exelis as part of the separation. You can reference the Appendix of this presentation for the reconciliation of our adjusted results to GAAP.
 For the third quarter, funded orders were $703 million. This is a significant quarter for us and provides visibility into expected revenue and cash flows for 2015. Orders were down compared to the third quarter of 2013, which is the reflection of declining Afghanistan contract base and reflects timing of awards on Middle East programs. For the balance of 2014, 100% of the remaining expected revenue is currently in backlog. Current funded orders do not include the 3 recent wins, ACE-IT, Turkey Spain and Thule Base Maintenance Contracts, which are expected to be added to backlog in the fourth quarter. Adjusted revenue for the quarter was $288 million. Afghanistan programs were down $56 million compared to prior quarter, while the base business grew by $2 million. This demonstrates that our existing non-Afghanistan contracts provide a strong revenue base going into 2015.
 Third quarter adjusted operating income was $9 million or 3.1% of sales, which was in line with our internal expectations and supportive of the full year projections we laid out during our Investor Day briefing. Adjusted operating income excludes $7 million of pretax costs associated with the spinoff from Exelis and $1 million of pretax income from the TARS program.
 Please turn to Slide 8. Let's talk about our performance on a year-to-date basis. While year-to-date orders are $384 million unfavorable compared to 2013, the orders of $1.2 billion represents a year-to-date book-to-bill of 1.3x, again, providing strong visibility into expected revenue and cash flows going into 2015.
 Adjusted revenue through September was $887 million, which is $272 million unfavorable to prior year. Afghanistan programs were down $200 million with service level reductions on Middle East programs making up the difference. Year-to-date adjusted operating income was $41 million or 4.6% of sales, which was in line with our internal expectations and consistent with the full year projections we laid out during our Investor Day briefing.
 As you can see from the third quarter results, our operating margin for the last few quarters is lower than our annual guidance. This is due largely to adjustments on Afghanistan contracts as a result of lower service level requirements and temporary cost inefficiencies around separation activities. We expected this decline, which is incorporated and consistent with our prior guidance of annual adjusted operating margin range of 4% to 4.5% for 2014. Our free cash flow through September was strong at $38 million. While we were pleased with our cash flow generation year-to-date, it was partially impacted by early cash receipts, which will put pressure on fourth quarter incremental cash flows.
 If you recall, in the information statement, Vectrus and Exelis executed a contribution agreement containing a 2-way adjustment mechanism relating to working capital and cash levels of Vectrus and its subsidiaries prior to spinoff. Pursuant to that agreement and as a result of strong cash collections, Vectrus received an initial payment of $17 million from Exelis on September 26. A final payment of approximately $2.6 million is expected before year end. This will close the working capital 2-way adjustment mechanism.
 Please turn to Slide 9. Through the third quarter, backlog was $2.2 billion with approximately $400 million moving from unfunded to funded backlog. Backlog represents firm orders and potential options on multiyear contracts, excluding IDIQ contracts. The year-to-date backlog excludes ACE-IT, Turkey Spain and Thule Contracts. The $1.2 billion of year-to-date orders represents a book-to-bill of 1.3x through 9 months ended September 30. We expect our book-to-bill to exceed 1 for the full year. September backlog, adjusted to include the 3 recent awards, would represent $3.6 billion. The recently awarded ACE-IT and Turkey Spain Contracts were not included on our formal backlog due to our conservative process to record contracts once all protests are resolved and the relevant protest period has passed. The Turkey Spain Contract was awarded on September 18 for $458 million. The award was not protested, and the contract is expected to begin phase-in around the first of the year. ACE-IT was awarded on August 15 for $517 million. However, a protest was filed with the GAO on September 2. Generally, a GAO decision on a protest is due within 100 days of the protest submission. Subsequent to the quarter's end, we were notified that a Danish company owned by Vectrus was awarded the Thule Base Maintenance Contract for $411 million. We expect to add these 3 programs to backlog in the fourth quarter. In total, these 3 contracts will add approximately $1.4 billion to our existing backlog.
 Turning to Slide 10. As we look forward, we have a lot to be excited about in the quarter, and we have made significant progress on our strategic initiatives. Orders in the quarter were strong. As previously mentioned, we also won 2 major strategic programs during the period, as well as an additional program in October. These 3 recent awards are expected to add approximately $1.4 billion of total backlog in the fourth quarter.
 With just the fourth quarter remaining, we were able to refine our 2014 guidance. 
 First, we are narrowing our full year adjusted revenue guidance to range from $1.15 billion to $1.2 billion for the full year. Our adjustment to the higher end of the range reflects anticipated stability on Middle East programs and predictable decline on Afghanistan contracts over the next 3 months. We continue to estimate the full year adjusted operating margin to range from 4% to 4.5%. 
 Our free cash flow guidance is expected to range from $23 million to $26 million. As we noted, cash receipts in the third quarter were very strong, and much of the uncertainty in the timing of our expected receivables has been removed for the balance of the year.
 Lastly, year-end 2014 adjusted earnings per share is estimated between $2.70 and $2.90, and the expected tax rate for 2014 is estimated to be 35.7%. As for 2015, we are currently working through our financial planning process. Our intent is to provide 2015 guidance during our fourth quarter earnings call early next year. 
 Now I would like to turn the call over for questions. 
Operator: [Operator Instructions] And we will take our first question from Brian Ruttenbur with CRT Capital. 
Brian Ruttenbur: First question. Adjusted gross profit amount attributed to TARS, what was that in the period? 
Matthew Klein: Brian, it's Matt. So we didn't provide any adjustments to gross profit, but I think you can think of it very simply: all the spin costs really fall out in G&A, and then you can just take a little bit out for TARS from what we have in the adjustments in the reconciliation to GAAP as it relates to G&A to get back to gross profit. 
Brian Ruttenbur: Okay. So we take all the spin costs out of G&A, and then we add what back into the gross profit? 
Matthew Klein: So just take a little bit out for G&A for TARS, 5%, 6%, and the rest goes into gross profit. 
Brian Ruttenbur: Okay, great. The next question I have is on guidance. Your guidance -- for the first 9 months, you did $2.54. And earnings per share, your guidance is $2.70 to $2.90. That implies a $0.16 to $0.36 fourth quarter adjusted EPS number, is that correct? 
Matthew Klein: That is correct. So the things that we're thinking about in the fourth quarter are, as the business has come down, we have a very scalable cost structure, and we work on that every day. And part of that will be a slight severance charge in the fourth quarter. And then we have some equity grants that will kind of put some pressure on our income as a new company. 
Brian Ruttenbur: Okay. So there will be a severance charge in the fourth quarter under G&A, I assume? 
Matthew Klein: Correct. 
Brian Ruttenbur: And what was the other charges? 
Matthew Klein: We have some equity grants as a new company that we have to record in the fourth quarter. 
Brian Ruttenbur: Okay, will that change your share count? 
Matthew Klein: It was slightly, and we've disclosed that our fully diluted share count will be 10,000,600 shares. 
Brian Ruttenbur: Okay, great. And then, free cash flow, I did not catch what -- I heard $23 million to $26 million is the free cash flow number for the year. What is the year-to-date free cash flow? 
Matthew Klein: Our free cash flow year-to-date is $38 million. 
Brian Ruttenbur: Okay. So you expect to be $15 million, roughly, negative free cash flow in the fourth quarter, is that right? 
Matthew Klein: Yes. The way I look at it, too, is we were $17 million-plus positive in the third quarter with early collection. So we are just kind of coming back to what we normally would receive or realize, and that's about 100% of net income. 
Brian Ruttenbur: Okay, that makes sense. Let me move on to Thule Greenland Air Force Base and understanding that contract a little bit. It's $411 million over 7 years. Who did you guys win that from? 
Kenneth Hunzeker: This is Ken. It was a Greenland-based company. 
Brian Ruttenbur: Okay. So it wasn't another defense prime? It was a local company that only had this? 
Kenneth Hunzeker: Correct, it was a local base company. 
Brian Ruttenbur: Okay, and when does that start? 
Matthew Klein: So on all of our contracts, that's kind of why we didn't record any of our new contracts in the backlog, they have to clear the protest period, which Thule has not cleared the protest period at this point. And then, we work with the customer on start dates and phase-in dates, so that's still in play. And as we described in -- when we give 2015 guidance early next year, we'll give you some more color around the start dates and the revenue realized or expected in 2015. 
Kenneth Hunzeker: Ideally, it would be in the February/March time frame, but that's the time frame we're looking at, Brian. 
Brian Ruttenbur: Okay, good. That's helpful. Okay, so other awards that you're going after, you mentioned $1 billion of bids in, another $1.5 billion in the next 60 to 90 days that you're putting in. That's a lot of award activity, potentially, down the road. Is this primarily base management? Can you talk about the makeup of those? Not anything specific, I don't need specific bases. I'm just trying to understand the makeup of what you're going after. 
Kenneth Hunzeker: Well, it's just like, as we put together the plan, these have been in the plan for a while. They are basically across all 3 business areas. So it's a really healthy mix to help us in all 3 areas. We have couple of pursuits on the IT side, a couple on the base operations and what we do on infrastructure management and a couple on logistics. So it really is a nice mix going forward. 
Brian Ruttenbur: Okay. And then, in terms of the continuing resolution, do you see any near-term impact? I know you have a lot of awards out there. Seems to be a lot of award activity happening right now. Is the continuing resolution slowing you down, or do you see them, the CR, slowing you down? 
Kenneth Hunzeker: We normally are not affected by CR. We don't expect it now. A CR really affects new starts. Almost everything we do is existing work and is just a recompete, so it's not considered a restart. So on the services side, we have not been affected in the past on continuing resolutions. 
Brian Ruttenbur: Okay. And then, how about the Republican win? This is a macro question. I have to hit you with it. The Republican win and potential for sequestration, does that get avoided or not? I know you can't predict the future, but just give me your opinion on is this good or bad, having the Republicans in, and potential for avoiding or having a sequestration, in your opinion? 
Kenneth Hunzeker: Brian, the discussion on sequestration is just getting started. My opinion is it will be a great dialogue as we come together as a nation. I'll tell you, in the past on sequestration, what I find interesting is that we never -- in all the different scenarios that took place in the past, we never had any of our employees laid off. We didn't have any of our employees that were furloughed because a lot of the work -- most of the work we do is mission-critical. So sequestration and what takes place there, based upon the kind of contracts we have in the operating areas that we have, we're not affected. 
Operator: At this time, we have one question remaining in the queue. [Operator Instructions] We will take our next question from Bill Loomis with Stifel. 
William Loomis: Looking at the sequential revenue -- so when I'm looking at your guidance and towards the upper end of that guidance, I get sequential flat or even growth. But it's not going to have the contribution from the 3 new wins, which you expect to ramp up next year. So -- and Afghanistan work is going to continue to come down. So what is going to show -- towards the upper end of your guidance, what programs are showing growth in fourth quarter? 
Matthew Klein: So I think what we're seeing on our Middle East programs is really stability and maybe slight growth, not a tremendous growth, with the activity that's going on in the region. Afghanistan is kind of leveling off. We saw some pretty steep declines in the first 3 quarters, and we'll a see little bit of pressure in the fourth quarter, but overall, I think we're seeing stability across our programs. And like you said, correct, the new contract wins won't begin until next year at various points in time during the next year, and we will give guidance on that early next year. 
William Loomis: So if the Afghanistan is leveling off, but you still think it's going to be gone by end of 2016, what -- in the third quarter, what was your Afghanistan revenue overall for the -- as a percent of revenue? 
Matthew Klein: Afghanistan revenue was $66 million in the third quarter, which was down $56 million. So the prior year was $122 million. And it's trending about 50% compared to last year, 50% decline. 
William Loomis: Okay. So and you expect that -- I know at the analyst meeting, I think you said you expected that in '15, if I recall, one of the comments you said, that kind of decline in '15 for your Afghanistan work, down about 50%? 
Matthew Klein: Yes, so I mean -- so we have $250 million that we're projecting through '14. It might be a little bit higher than that depending on how the last few months go. What we said was, in the next 2 years, the Afghanistan business will align with combat troop levels. And what we've seen this year is a 50% decline. I think, at the worst case for next year in 2015, we may see another 50% decline. I think that's worst case at this point, but that's all dependent on what happens with troop levels. 
William Loomis: Okay. So with the $200 million of revenues from just the 3 wins you talked about, your base programs are stable based on what you're saying for fourth quarter and the growth you saw in third quarter or stability in third quarter. So I mean, in 2015, you're not giving guidance, but I mean, it sounds like it's -- I mean, the revenues will grow. I mean, is that a fair statement? 
Matthew Klein: Well, there's a lot of moving parts on the 3 recent wins, right? The things you have to contemplate as we work with our customers that aren't completely known now is when do we start and then how long is the phase-in. And those kind of can change through the course of negotiations. So that's the one variable. You can't assume that the $200 million is going to start January 1. So that's the one variable that we have to work on. 
William Loomis: Okay, but if -- okay. But is it reasonable to think, as I think Ken mentioned earlier, February, March, that we could get these things -- all 3 of them going, assuming that nothing happens there? 
Matthew Klein: It's -- I would say that it's reasonable to have clarity around where we are on all 3 of them with the protest and the pending protest period expiring. And then, we'll know when the phase-in starts. So we'll definitely be able to give guidance on what we think the revenue trend is for these 3 programs. In '16, I would expect to get a full complement of annualized revenue. 
Kenneth Hunzeker: And we did it on Turkey Spain. We had our post -- preperformance conference with them last week, and we will start that at the end of March. So we do know that one. 
William Loomis: Okay. And then on the 3 wins only, what type of margin are on those programs? Are they kind of in the 4% range? Or what guidance can you give on that? 
Matthew Klein: Yes, we're not going to talk about individual programs. We do feel we're very excited about winning these contracts and replacing our declining Afghanistan contracts. And the good thing is, when these resolve through the protest periods and we start executing, we have full control of operating margins, and that's a good place to be. 
William Loomis: Okay. But no kind of above corporate average, below corporate average guidance on the 3 wins? 
Matthew Klein: Yes, we're not really ready to give guidance until next year on overall corporate operating margins. 
William Loomis: And then, just on your debt going forward, what's the full-in interest rate, including fee amortization and everything like that? 
Matthew Klein: We're really trending towards -- we closed September at about 2.99%. So the annual interest expense, depending on where LIBOR goes is in the $4 million to $6 million in the first couple of years. 
William Loomis: Okay. And then, in third quarter, on the adjusted margins, so with that 3.1% adjusted margin, was there any onetime items in there that kind of dragged that down and/or boosted it like potential fee awards or anything, or is that a good figure? 
Matthew Klein: No, what I said in the dialogue is really inefficiencies around spin activities. So there is a slight pressure on that margin just to kind of have overlap people to be ready for day one, to have certain TSAs and prep for those to get through the transaction, to stand up software requirements. So our costs, probably, were a little bit high in the third quarter, and we'll work on those in the coming quarters to kind of lean out operations. So we should see a little bit of improvement on our cost structure going forward. 
William Loomis: Okay. And then in the fourth quarter, when you -- on your adjusted margin that you will report in the fourth quarter, would that be a kind of run-rate margin going forward? Or is there going to be some pressures on that, too? 
Matthew Klein: We would expect it to be similar to Q3. 
William Loomis: Similar in size or similar in that it's going to have some onetime kind of temporary costs in there? 
Matthew Klein: There would be -- as I described, there will be severance costs as we roll into next year and we adjust our cost structure, and there will be equity grants that we have to contemplate and record in the fourth quarter as a new company that will put pressure on the margins. 
William Loomis: So when you report adjusted margins, you're not adding that back to get your adjusted margin? 
Matthew Klein: We do not plan on adding anything other than spin cost and TARS at this point. 
William Loomis: Okay. And then, just seasonality, generally speaking, in terms of your revenues, how -- is that -- do you have much seasonality in the business, apples-to-apples? Is fourth quarter generally going to be stronger than first quarter, for example? 
Matthew Klein: We don't, typically. If everything were to start at the same time, it would be very predictable, but with one exception: if things change on a base and the customer directs either increases or decreases, that could change it. But overall, if things are pretty straightforward and consistent, you would see, quarter-over-quarter, pretty consistent revenue. 
Operator: The next question is from Jim Foung with Gabelli & Company. 
James Foung: [indiscernible] call late, so I apologize if you answered this earlier, but I wanted to ask -- at your Investor Day, you talked about $1.5 billion of potential new businesses under evaluation and then overall, $25 billion over a 3-year period. And I was kind of curious, was this Army Corps of Engineers award that you won, was that part of this $1.5 billion of potential new business? And then, could you just talk a little bit more broadly of where you are in terms of maybe potentially getting more of that $1.5 billion of new business coming up? 
Matthew Klein: Jim, this is Matt. Let me start you with reconciliation. At the Investor Day, we had $1.5 billion. In that number included Thule. So we were recently awarded Thule. That's why it came down to about $1 billion pending. And then, I'll turn it over to Ken for some color around what's still to go. 
Kenneth Hunzeker: And what's really interesting is we're obviously putting together our op plan to go to the board and working this draft plan going forward. I'm really excited about what I see on the number of opportunities we have. So we have always run a robust pipeline within the organization, and it's continued as we go to the future, very excited about all the different opportunities and our ability, with our past performance, to really put a lot of good bids in. And that's what in you're seeing the results of. So that's why we're -- within the next 60 to 90 days, we'll have $1.5 billion of new awards turned in, which just keeps the flow going. 
James Foung: So in terms of your opportunity, there's still another $1 billion in the near term, right, and then $25 billion over 3 years? 
Matthew Klein: Yes, let me step you back a little bit. So roughly, there's $10 billion in our pipeline that kind of averages over 3 years. So if you just kind of do simple math, $3 billion or $4 billion in any given year that we kind of pursue and submit. And you move down from that, $1 billion of it is pending awards. So it's all the way through its acquisition life cycle and ready for award. Another $1.5 billion is just normal rhythm of the business that we're ready to submit and that will start to go through its acquisition life cycle in consideration. So I wouldn't get too confused on the $1.5 billion and the $1 billion. The $1 billion is ready for award. We've been quite successful in this pool recently, and we're hopeful that we're successful in this what's due to be awarded, but really, the rhythm of the business is $10 billion pipeline with about $3 billion that we pursue in any given year that kind of whittles down to active pending award bids of $1 billion. 
Operator: It appears there are no further questions at this time. Mr. Hunzeker, I would like to turn the conference back to you for any additional or closing remarks. 
Kenneth Hunzeker: Thanks, Eric. Thank you, everybody, for joining us on the call today. As we discussed during our prepared remarks, we're really excited to be a new company. The recent wins align directly to our strategy and help mitigate the declining Afghanistan revenue base. We look forward to providing 2015 guidance next year when we report fourth quarter results. And I think I will end as I started today with a comment on Veterans Day. Please take a moment to thank a Veteran for their service. Thanks. 
Operator: This concludes today's call. Thank you for your participation.